Operator: Good day and welcome to the public relations Chatham Lodging Announces Second Quarter Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Chris Daly. Please go ahead sir.
Chris Daly: Thank you, Eric. Good morning, everyone. Welcome to the Chatham Lodging Trust second quarter 2015 results conference call. This morning, before the opening of the market, Chatham released results for the second quarter of 2015 and I hope you’ve had a chance to review the press release. If you did not receive a copy of the release or you would like one, please call my office at (703) 435-6293 and we’ll be happy to email you one, or you may review the release online at Chatham’s website, www.chathamlodgingtrust.com. Today’s conference call is being transmitted live via telephone and by webcast over Chatham’s website and at streetevents.com. A recording of the call will be available by telephone until 1 p.m. Eastern on Wednesday, August 12, 2015, by dialing 1 (888) 203-1112, reference number 6993806. A replay of the conference call will be posted on Chatham’s website. As a reminder, this conference call is the property of Chatham Lodging Trust and any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Chatham is prohibited. Before we begin, Management has asked me to remind you that in keeping with the SEC’s Safe Harbor guidelines, today’s conference call may contain forward-looking statements about Chatham Lodging Trust, including statements regarding future operating results and the timing and composition of revenues among others. Except for historical information, these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially, including the volatility of the national economy, economic conditions generally in the hotel and real estate markets specifically, international and geopolitical difficulties or health concerns, governmental actions, legislative and regulatory changes, availability of debt and equity capital, interest rates, competition, weather conditions or natural disasters, supply and demand for lodging facilities in our current and proposed market areas, and the company’s ability to manage integration and growth. Additional risks are discussed in the company’s filings with the Securities and Exchange Commission. All information in this call is as of August 5, 2015 unless otherwise noted, and the company undertakes no obligation to update any forward-looking statements to conform the statement to actual results or changes in the company’s expectations. During this call, we may refer to certain non-GAAP financial measures, such as EBITDA and adjusted EBITDA, which we believe to be common in the industry, and helpful indicators of our performance. Keeping with SEC regulations, we have provided and encourage you to refer to reconciliations of these measures to GAAP results in our earnings release. Now, to provide you with some insight into Chatham’s 2015 second quarter results, allow me to introduce Jeff Fisher, Chairman, President and CEO, Dennis Craven, Executive VP and Chief Operating Officer, and Jeremy Wegner, Senior Vice President and Chief Financial Officer. Let me turn the session over to Jeff. Jeff?
Jeff Fisher: Yes. Thanks Chris. Good morning, everyone. Thanks for being on the call, it’s great to be here and for the first time to welcome Jeremy Wegner joining Dennis and I for the call, so don't be too difficult on them, but between now and question time you can think effusing us anyway. Many of you met Jeremy at NAREIT, and we’re glad to say that the transition has been very smooth. During the quarter we celebrated our fifth anniversary as a public company and it’s great to look back and see how far we've come since then starting out with six hotels and a market cap of only $160 million and now we sit here today with a market cap over $1 billion, owning 36 hotels outright and owning interests in another 96 hotels. With Jeremy joining the team, I think our team is highly scalable and we look forward to continued growth as we build Chatham into the premier select service REIT out there. I want to spend a few minutes talking about industry fundamentals. We remain bullish, I started this way on the last quarter call, obviously there is a lot that's transpired given the fact that most hotel companies have reported earnings before us this quarter, we think it's a great time to be an owner of hotels. GDP growth in the country is moderately healthy. Demand continues to outpace supply with demand up 3.3% year-to-date through June and only a moderate increase in new supply at a little over 1%. As matter of fact most of the so-called industry experts have in fact reduced their supply estimates additions to supply during this year and for 2016. The projects are not coming out as fast as they anticipated for a variety of reasons, nonetheless the net effect we think is the ability to continue to grow RevPAR and for us of course and for most folks that's mostly ADR, as we move forward in the next couple of years. And frankly, I think there has been a little bit of an overreaction in the market itself relative to share price, and we’ll talk a little bit about that later on. But nonetheless, I think if the stocks were priced for perfection before, you know there's certainly not priced that way now. And on a relative value basis if you can have mid to upper single-digit RevPAR gains for the next two or three years and that seems to be what's on the horizon a very good friend of mine at one of the brand companies confirmed that kind of view, and I think we also are in the same camp. So our earnings, you know like others are growing, although ours frankly are growing as you know in that 25% to 30% range, very, very quickly and we certainly look down the road in a very positive way. So with that as a backdrop again, pricing power should be strong and it will be up to our operators to change the mix as appropriate to move ADR even higher over the next few years. And of course with our unique relationship with Island Hospitality, we also think we have a competitive advantage in that regard because we work directly with Island insofar as supervision and conversations relative to pricing, and revenue management, and direct sales efforts, and all the things that go along with that. Industry RevPAR grew 6.5% in the second quarter with ADR comprising 75% of that growth. Our portfolio RevPAR growth was 7% when you take out the Maitland Hotel, which of course continue to have substantial rooms out of service until the end of June when the project was completed. So bucking the industry mix, our portfolio saw 100% of this growth driven by rates as our portfolio occupancy was 86% for the quarter, strong occupancy. We’ve selectively built a portfolio of high-quality upscale extended stay in premium branded select service hotels, and you see that quality in the breadth of the portfolio performance with basically a third of the hotels continuing to experience RevPAR growth over 10%, West Coast markets remained strong with significant employment growth and corporate expansion and our portfolio is nicely weighted to benefit from our exposure there, given the fact that approximately 55% of our hotel investments are in California, Seattle, and Denver. The 11 hotels in those markets are performing strongly with RevPAR growth of right at 10% for the quarter other than Carlsbad and Anaheim; we've acquired the other nine hotels out West in the past two years, a testament to our focused and targeted approach I think to acquiring specific hotels in specific markets. And of course, we’ll talk a little bit more about the two acquisitions we announced this month. But again, very specifically targeted hotels within the Residence Inn brand, which of course I think by now most folks realizes our favorite to own and operate. Silicon Valley remains a strong market with RevPAR up 10.1% in the quarter. Our four Residence Inns are the best brand for that area, given the significant amount of longer-term business meaning extended-stay travelers traveling in the Valley. Traveling from San Francisco to Silicon Valley is difficult as well, so most people visiting the Valley of course need to stay there, especially if you’re a longer-term consultant, a trainee, or an engineer working at one of the many companies in Silicon Valley, where our hotels are located. We don’t see much new supply coming to Silicon Valley other than right around the San Jose airport, and of course given the significant demand that far, far exceeds what the existing supply can provide and the demand for office and residential real estate, and the prices that are being paid for land by the high-tech companies and residential developers to expand their headquarters or build more apartments frankly, we don’t see lots of supply coming in Silicon Valley. Our two Boston area hotels continue to perform strongly with RevPAR growth of 14.5% and Homewood suites in Billerica and 10.9% at a recently acquired Hilton Garden Inn in Burlington, Massachusetts. Similar to the West Coast these markets are buoyed and strengthened by the strong employment growth and high tech biotech and higher growing industries that exist in that Route 128 corridor. In addition to these two hotels, we just acquired the Residence Inn in Boston, Dedham, which is another hot market in the 128 corridor and Boston area. Our Washington DC Metro hotels are finally starting to experience strong RevPAR gains with our Foggy Bottom Residence Inn and Tysons Corner Residence Inn growing 9.4% and 9.9% respectively. And RevPAR and the market share of the Foggy Bottom Residence Inn is much higher than the hotel ever achieved as a 33 suites. Although not as high as guided, our operating margins continue to rise significantly and when you look at the quarter and the six months ended June, we were able to generate excellent gross operating margins of 52% and 50% respectively. Second quarter operating margins were up 230 basis points compared to the last year. Attributable to the quality of hotels we've acquired in tandem with the continued growth and same-store margins and for all 35 hotels regardless of ownership, our operating margins were up 80 basis points. Comparable hotel EBITDA margins also rose 60 basis points to a strong 46% for the quarter, and almost 44% for the six months ended, the highest among all lodging REITs, as we continue to set the bar higher there. Adjusted FFO per share was $0.71 and adjusted EBITDA was $36.7 million; below consensus, but within our guidance of $0.69 to $0.74. I’m thinking that some of the overall consensus numbers comprised throughout the rest of the year as well, just some pretty aggressive assumptions at the very top end by analysts. But nonetheless, strong performance and within our guidance, adjusted FFO per share was up 27% as I mentioned earlier, among the best within the lodging REIT universe. And adjusted EBITDA was up 71% year-over-year. So these are very strong metrics. For the full year, we are currently projected to grow FFO per share another 24% in 2015 and that 24% growth is on top of approximately the 30% growth we've experienced since 2010. Touching briefly on our acquisition pipeline, we’re being very careful of course at this point given the increase to our cost of capital, as a result of the recent decline in lodging share prices. Most of you know that we try to maintain a very active acquisition pipeline and of course the Boston and Fort Lauderdale hotels are great hotels in markets that again are among the fastest growing markets in the US. So as we look towards the back half of the year, both of those hotels not only will experience great RevPAR growth, but of course on an unlevered return basis be, I think very positive for the company as well. We’ve got another hotel that we haven't talked about under contract for $45 million in a coastal area outside of Los Angeles that we’re really excited about. And again, we’ve got to work our way through a loan assumption there and the ground lease assumption, so we do not have a specific closing date, so that's why we're not identifying the hotel yet nor announcing a closing date. I will tell you that it is a hotel that absolutely fix our criteria or in the criteria you’ve come to expect from us a very targeted selected asset that we identified three years ago we wanted to acquire, and finally I guess with some arm wrestling the seller gave in. In any event that would bring our year-to-date acquisitions to almost $200 million for the year and in certain markets, again since I indicated were obviously aware and looking at our multiple all the time, we may look to opportunistically sell an asset or two and redeploy that capital into other target markets or hotels that might be in our acquisition pipeline. So we will take care of that through the back half of the year and see whether or not we’re able to accrete to our NAV by again moving money from a potentially slower moving market or growing market to a faster growing market and perhaps a higher asset quality. With that, we’ll turn it over to Dennis for more detail on our performance. Dennis?
Dennis Craven: Thanks Jeff. Good morning everybody. I wanted to start just by walking through our earnings for the quarter versus our guidance for the second quarter that we put out there in May. Our RevPAR guidance for the quarter was 6% to 8% for all hotels including the Maitland, Homewood Suites and we ended up seeing growth of 6.4%; again a very healthy number considering the performance of the most other lodging REITs that are out there. Adjusted FFO per share came in at $0.71 versus our guidance range of $0.69 to $0.74 per share. Consistent given the fact that RevPAR growth was towards the lower end of our guidance range. The only operating metric that fell outside of our guidance range was hotel EBITDA margins, which came in as still a strong 46% versus our original guidance range of 46.3% to 47.5%. Flow through of the incremental revenue year-over-year, which was about 72% in the first quarter came in at approximately 58% in the second quarter, driven by slightly higher repairs and maintenance expenses for some unplanned items in certain of our hotels. Had we met the same flow through in the second quarter as we had in the first quarter, our FFO per share would have been approximately $0.02 higher. Still, as Jeff alluded to or Jeff spoke, the fact is our hotel both on the operating margin side and the hotel EBITDA margin side, the margin still grew 80 basis points and 60 basis points respectively very strong and very good when you consider the performance of most of the other lodging REITs, which saw lower margin growth quarter-over-quarter. Other key items that impacted this in the quarter; our corporate G&A was actually down about $0.5 million from our guidance range, mainly due to this timing and expenses that hit us in the first quarter as opposed to the second quarter. We had – within the Inland joint venture RevPAR growth was moderate at 3.2%. The main driver of the – what was originally our EBITDA expectation on our contribution of that – of the EBITDA from the Inland joint venture which was about $2 million shy of our expectation for the quarter, that only impacts us by a little over $200,000, so almost $0.01 in terms of an impact for the second quarter. Within the Inland portfolio same-store operating margins were actually up a healthy 170 basis points for the quarter. So again, when you look at that actual performance of the Inland portfolio, the underperformance is strictly topline driven. And really, as we quoted in our press release, really attributable to the overall market strength of that portfolio at this time in 2015. We certainly believe that over the next few years, that’s going to be a very healthy investment, it’s going to produce great results. I think from an operating perspective, we certainly have our handle on all of the hotels that we took over, that Island took over managing back in November. We do believe that we are going to continue to improve the operations of the portfolio, and hopefully look for some upside in terms of that investment down the road. Operating margins as well, which we spoke about up 130 basis points, to an overall 44.2% operating margin. Hotel EBITDA margins in that portfolio were up 40 basis points to 38.3%, so good – again, good overall operating performance, just a little bit soft on the RevPAR growth. The Innkeepers portfolio is really humming; RevPAR was up 7.7% for the quarter. Hotel operating margins were up 70 basis points to 45.7%. Hotel EBITDA margins were up 50 basis points to 41.1%. Actually those are pretty much in line with the Island managed hotels of the Chatham wholly-owned portfolio as well in terms of actual margin expansion. Looking inside the Chatham numbers, a few things to point out with respect to RevPAR; it trended higher throughout the quarter with RevPAR up 5% in April, 6.3% in May and 7.7% in June. Jeff highlighted some of our key markets with Denver and Silicon Valley; I’m going to touch on just a couple of others. Our four Houston hotels are driven primarily by medical center business, given that two of them are located directly at the medical center and the other two are only 2.5 miles away in the West University section of Houston. These hotels faired okay in the quarter with RevPAR up 1.9%, driven basically entirely by occupancy gains. Occupancy was up in three of the four hotels, and average occupancy for the four hotels was 85% in the quarter. When you look at the performance of the entire Houston MSA; RevPAR was down 1.7% so for the year. So happy and encouraged that certainly the four hotels that we have and that we own significantly outperformed the overall Houston market, and really affirms our investment decision which was to be anchored to the ever-growing medical center in Houston. We did complete in June the water supply line replacement at the Maitland Homewood Suites Hotel. The hotel coming out of that with all rooms up and running is performing strongly since completion in late June. The Maitland market as well is performing well with RevPAR up over 10% through the first six months of the year. Coming out of the completion of the water supply line, for the first 28 days of July hotel RevPAR at our Homewood Suites in Maitland was up almost 25% and that's over July of last year in which there were no rooms out of service. So again, a very strong performing hotel coming out of the full completion of those – of that repair. Really only weak market for us was Washington, Pennsylvania, which was adversely impacted by oil and gas related weakness. The hotel is small, its 86 rooms, so really didn't have much of an impact on the overall performance of the portfolio. With respect to the Silicon Valley expansions; after a time consuming and difficult process the Mountain View permits were obtained in the quarter for the 32 room tower addition. The site is clear, construction is moving forward. We expect that the total cost for the development of the tower will be in the $7 million to $8 million range and will be complete by April 2016. The $7 million to $8 million does include some fairly significant soft cost for design and architecture fees that will be helpful for the other three projects. So the cost is a bit higher for this expansion, but we certainly expect to use certainly a lot of the knowledge we’ve gotten through the Mountain View process for the other three. With respect to the other three; Sunnyvale – the first Sunnyvale location, the approvals are in process, constructions have started around the first of the year. With respect to the second Sunnyvale location, the approvals again all in process, construction we would expect to start around April 2016. With respect to San Mateo; it’s a little bit further behind, we expect construction to start there around July of 2016. Construction in all three of those locations should take approximately 12 months. Construction costs have certainly risen significantly in the past 18 months as Jeff talked about with the demand for residential and office expansions. We do expect that that the current estimated range for those construction projects is going to $70 million to $80 million. The good news is that the hotels have continued to outperform our original underwriting in the past 12 months. Hotel RevPAR for those four hotels is up 13%, since our acquisition, with EBITDA up about 17%. So we still expect to generate very handsome returns on an unleveraged basis to still maintain returns in the mid-teen level, which is certainly a very attractive return for any type of investment in the lodging space at this point. So I think with that, I'll turn it over to Jeremy.
Jeremy Wegner: Thanks Dennis, good morning everyone, excited to be here. For the quarter, we reported net income of $12.8 million or $0.33 per diluted share compared to net income of $65.3 million for $2.44 per diluted share in Q2 2014. In 2014, our net income included a $66.7 million gain on the recapitalization of the Innkeepers joint venture. The primary differences between net income and FFO relate to non-cash cost, such as depreciation which was $12 million in the quarter, hotel acquisition cost of approximately $500,000 related to the acquisitions of the San Diego Gaslamp, Dedham and Fort Lauderdale Residence Inn and our share of similar items within the joint ventures, which were approximately $1.9 million in the quarter. Adjusted FFO for the quarter was $27.2 million compared to $14.8 million in the 2014 second quarter, a very impressive increase of 83%. Adjusted FFO per share was $0.71 per share versus $0.56 per share in Q2 2014, a 27% increase year-over-year. Adjusted EBITDA for the company rose significantly, up 71% to $36.7 million compared to $21.5 million in Q2 2014. In the quarter, our three joint ventures contributed approximately $5.2 million of adjusted EBITDA and $3.3 million of adjusted FFO, at the low end of our guidance of $3.3 million to $3.5 million. During the quarter, we received distributions of $1.7 million from the Innkeepers portfolio and $1 million from the Inland portfolio. In the first year of our new Innkeepers investment, our leveraged cash on cash returns were substantial at approximately 18%. Through essentially six-months of the investment in the Inland JV, we received approximately $1.4 million of distributions on our $28 million investment. Our balance sheet is in excellent condition as we move into the third and fourth quarters. Our net debt was $503 million at the end of the quarter, down $7 million from the end of the first quarter, as we use excess cash flow generated from operations to pay down all of the borrowings on our line of credit at the end of the quarter and increased our cash balance by $1.3 million from the end of the first quarter. At the end of the quarter, our leverage ratio was 38.2% compared to approximately 44% at the end of 2014. Subsequent to the end of the quarter, we used available cash and borrowings of $11 million to acquire the Dedham Hotel. As we've emphasized many times, we’re comfortable operating at the higher leverage level given our confidence in where we are in the cycle, our healthy debt service coverage ratios and our extended debt maturity profile. We remain bullish and we believe that with borrowing rates still at historically very attractive levels, we can continue to use our balance sheet to fund our growth as opportunities arise. Since the end of the quarter, we’ve announced the $55 million acquisition of the Dedham and Fort Lauderdale Residence Inn hotel. In addition, we have another hotel under contract of $45 million. After these three acquisitions, our leverage will be at a very manageable level of 43%. Transitioning to our guidance for full-year 2015, I’d like to note that it takes into account our planned renovations at the Residence Inn West University Houston during the third quarter and the Savannah Springhill Suites during the fourth quarter, and the acquisition of the Dedham Residence Inn in July and the Fort Lauderdale Intracoastal Residence Inn by the end of August. We’ve amended our guidance to reflect actual performance in the second quarter and a slight lowering of the upper end of our RevPAR and margin range by about 50 basis points. We expect RevPAR growth will be 5.5% to 6.5% for the year compared to our previous range of 5.5% to 7%, which implies RevPAR of $129 to $131. On a pro forma comparable same-store basis including the Dedham and Fort Lauderdale hotels, 2014 hotel quarter-by-quarter RevPAR was $112 in the first quarter, $131 in the second quarter, $137 in the third quarter, $113 in the fourth quarter, and $123 for the full 2014 year. Our quarter-by-quarter RevPAR growth is projected to be 5% to 6% in the third quarter down from the 5% to 7% originally expected, driven by tough comps in 2014 when RevPAR growth was 9% in July, 10% in August, and 11% in September. Through July, RevPAR for our 36 owned hotels was up 7% in July. Our fourth quarter RevPAR growth is expected to be 6% to 7%. By quarter, our 2015 RevPAR is projected to be $144 to $146 in the third quarter and $120 to $121 in the fourth quarter. Our full year forecast for corporate cash G&A remains at $8.6 million. The $500,000 benefit incurred in the second quarter is offset by my addition for the balance of the year. On a full year basis, the three joint ventures are expected to contribute $17.2 million to $17.6 million of EBITDA as we lowered our guidance, which was previously $17.5 million to $18.3 million, to reflect the weaker than expected overall performance in the Inland JV. We expect FFO from our joint ventures will come in at $9.5 million to $9.9 million, again down from our previous range of $10 million to $10.8 million. The cash flow perspective, capital expenditures are expected to be about $12 million through the last six months of the year with $8 million related to our 2015 capital plan and $4 million related to the Mountain View expansion. I think at this point operator, that concludes our remarks and we'll open it up for questions.
Operator: Thank you very much. [Operator Instructions] Our first question comes from Anthony Powell from Barclays Capital. Please go ahead sir.
Anthony Powell : Hi, good morning everyone. Just on the Inland JV, could you have remind us what market kind of contributed most to those – to that JV and also was market underperformed?
Dennis Craven: Yeah, I mean, overall as we indicated in the release and in our comments the market was certainly – the overall portfolio was a little bit weaker than the Innkeepers portfolio, but certainly as we kind of look down the hotels, we had some weakness in the North Carolina markets, Chapel Hill, Wilmington, the hotels are fairly soft. We’ve got a couple of hotels as well that kind of as we look at outside of New York area, but in Princeton, New Jersey was certainly one of our weaker performing hotels, RevPAR there was down about 19% for the quarter. So, a handful of hotels had what I would call mid-teen RevPAR declines with two or three of those in like I said in the North Carolina markets. In terms of the Houston exposure within the Inland portfolio, the Westchase Hotels actually can see – actually had fairly decent RevPAR, they held up okay. We've got a hotel that’s outside of Houston, a courtyard by Marriott to Houston Northwest; a little further out RevPAR was down about 13% for the quarter. So again, I think similar but a little bit between North Carolina, Princeton, New Jersey and the Houston area those were kind of the key drivers of that portfolio.
Anthony Powell: Got it. And just a follow-up on the transaction activity; are you seeing either less competition or less sales out there, over the past few month given some of the volatility we've seen in some of the stock prices in lodging REITs or slight slowdown in RevPAR growth? Are people still buying or selling, what’s the overall environment out there?
Jeff Fisher : I’ll tell you what, I think – this is Jeff, how are you Anthony?
Anthony Powell: Great.
Jeff Fisher : I would say there is still plenty of activity, and frankly the real people that are in the business obviously are indicating buy their pocketbooks how they view the future, even though obviously some of our institutional or other folks that play in the stock market a little bit seem to be a little more bearish because on the real street corner there is plenty of activity and plenty of forward-looking, I think positive indicators that would say, yeah this is a good time to be owning hotels as I said at the outset and a good time to buy hotels.
Anthony Powell: Great. Thanks a lot.
Operator: Our next question comes from Mr. Patrick Scholes from SunTrust. Please go ahead sir.
Patrick Scholes: Hi, good morning. A couple of questions here; first on the renovations listed in the press release in Houston and Savannah, have these been accelerated forward or were these originally in the schedule all along for the fourth quarter?
Jeff Fisher : Schedule all along.
Patrick Scholes: Okay. Secondly you mentioned Princeton had a very weak performance in the quarter, wondering if you can just give more color on, I think you said negative 19? What is happening there?
Dennis Craven : So for the quarter, the Princeton Hotel, let’s see here, yeah for the quarter was down and our RevPAR share was down about 19%. I think that from an overall performance of the hotel, if you look at the actual market, the actual market was, just bear with me a second Pat, but if you look at the actual market, the actual market for the Princeton area was up 6.3%. Our share was down about 19% and so our hotel actually saw a RevPAR decline of about 14%. So I think for that particular hotel there was some one-time business, contract business in 2014 that we’ve seen that obviously wasn't replaced this year. I think when it gets down to kind of getting your hands around these hotels, especially with the Inland portfolio since we as well as Island are new to the portfolio is getting your hands around a lot of that business that within the markets of the hotels last year. And quite frankly with a lot of the turnover that we saw around the time that we bought the portfolio that, that knowledge is certainly has to be obtained as you’re operating the hotel. So I think we've seen that in a few instances in the portfolio where there is books of business that were there in 2014 that weren’t appropriately replaced in 2015.
Jeff Fisher : Because that portfolio was kind of flogged on the market, obviously in a more of an auction format, you’ve got the Inn and the management company that had most of those hotels, knew they were short term at best, that mean it's not uncommon, that this kind of stuff occurs, but when you look at an extended stay hotel like in that Princeton deal, as a Homewood Suite, you have even more of that than let's say a non-extended stay hotel because some percentage depending on location and asset, any extended stay hotels business is going to be what I'll call special project business or training business. And if that's not proactively being pursued on a direct sales basis and as training groups hotel, the challenge for the operating team is to always replace that business in the market, and so you know, we’ve got a few of those that really drag the overall results down in Inland. The way I’m looking at Inland is frankly, I think a 24 month role, and I'm pretty excited overall as our folks are getting their arms around these assets. And I think that our history has always been especially in extended-stay hotels a very high degree of success in knowing where to find the business and put it in the hotels. So we should have a pretty good view going forward. I think the contribution for 2016 will probably be up, way up from what we probably originally budgeted, whereas 2015 is down from what we originally budgeted. So that's kind of the in-depth color, Pat on that one.
Patrick Scholes: Okay. One last question, thank you for that. What are your expectations for Houston for the rest of the year and into next year, not for the market, but specifically your hotels in Houston?
Dennis Craven : Yeah, I mean I think for our hotels, I think listen, it’s still going to be primarily low single-digits in terms of RevPAR growth for the balance of the year. We do have in the third quarter the Residence Inn – at West University that under renovation, so taking that one out of the equation, the other three we would expect it to be low single-digit RevPAR growth. 2016, it’s certainly – no reason to think that it’s going to be anything greater than again low single-digits for that market.
Patrick Scholes: Definitely easier comps later in the year for those markets. I think that’s all, thank you.
Operator: [Operator Instructions] There are no further questions at this time, please continue.
Jeff Fisher: Well, those are very few questions, but nonetheless nobody saved a zinger for Jeremy I guess. I’d like to just finish up by again reiterating our positive feelings about not only the industry, but you know hotels that we own here with our Residence Inns and the other brands that we specialize in and within those brands I think some of the best hotels in the United States, and in the best markets in the country. Fort Lauderdale, the new acquisition should come on very strong towards obviously the backend, back quarter of this year as the South Florida season picks up. I think our revenue management team frankly from what I've seen and the shift from where it was revenue managed and how it was revenue managed before to our team's abilities and already looking for the appropriate business to be in that hotel. And the appropriate mix of extended-stay business and very high paying transient business should bode very, very well for us, as we move into 2016. And frankly, the unnamed Los Angeles acquisition has a RevPAR that is – and I think room for growth in RevPAR index that is very high and very strong, so again, a very positive contributor to our overall NAV and value proposition for Chatham. So again, we will continue to work hard here and I expect to see some more good numbers as we move forward. Thank you all for attending.